Operator: Ladies and gentlemen, welcome to the Genius Sports Q1 Results 2021 Conference Call. Throughout the call, all participants will be in a listen-only mode and afterwards there will be a question-and-answer session. [Operator Instructions] Today, I am pleased to present Mark Locke, CEO and Nick Taylor, CFO. Please go ahead with your call.
Nicholas Taylor: Good morning, everyone. Before we begin, we'd like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks that could cause our actual results to differ materially from our historical results or from our forecasts. We assume no responsibility for updating forward-looking statements. Any such statements should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our last annual report on Form 20-F. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating Genius's operating performance. These measures should not be considered in isolation or as a substitute for Genius's financial results prepared in accordance with US GAAP. A reconciliation of these non-GAAP measures to the most directly comparable US GAAP measures is available in our earnings press release and earnings presentation, which can be found on our website at investor.geniussports.com. With that, I'll now turn the call over to Mark Locke.
Mark Locke: Good morning. Thanks for joining. And welcome to our first earnings call as a public company. I want to start by extending my gratitude to everyone who's contributed to this moment, to our clients, customers, advisors, investors, and of course, our employees. We thank you. You all believe in our core mission of being the official data, technology partner that powers the global ecosystem that connects sports, betting and media. You have enabled us to get to this point. And I'm looking forward to using these quarterly earnings to update you on our business activities and progress towards our long-term targets. And to new potential investors, welcome and thank you for joining us today. Before diving into the results, I'd like to start with a brief overview of our business and the opportunity ahead of us. Genius is uniquely positioned at the heart of the sports ecosystem that connects sports, betting and media. Over our long history, we built a proprietary technology platform that our partners depend on to streamline data collection and distribution, engage audiences and ultimately monetize sports fans. By partnering with hundreds of sports leagues and federations, sportsbook operators and media brands across the globe, we are well positioned to capitalize on the growth in the sports betting market. While our fast growing sports betting market presents the best opportunity to monetize sports fans today, our vision stems far beyond the boundaries of sports betting alone. As the world of sports, betting and media converge over the long term, we are focused on building a tech platform that enables our partners to monetize their audience in a multitude of ways tomorrow, whether through betting, ticketing, merchandising or others. Our deeply integrated technology and data partnerships puts us in the best position to expand our value added services and solutions and continue to grow as the industry evolves. Before we move on to the quarter, we would like to reiterate our long-term financial targets. We are adding more value to our customers than ever before. And we are on a strong march towards a long-term revenue target of 5% of industry gaming revenue. And we continue to target a long term EBITDA margin of 40%, reflecting the strong underlying unit economics of our model. With that, we are proud to share with you the fantastic momentum behind us, the moment, and the significant steps that we have taken in the quarter to accelerate growth and capitalize on the enormous opportunity ahead of us. I'll quickly touch on the six key takeaways from the quarter, before we dive into performance in more detail later on the call. In the first quarter of ‘21 year-over-year, we grew our revenues by 52% to nearly $54 million, and our adjusted EBITDA by over 400% to $9.3 billion. We are very pleased to have announced an exclusive six-year strategic partnership with the NFL that is completely innovative in its structure and revolutionary in its potential. This agreement combines our leading capabilities across sports, betting and media for the preeminent league in the world sports and is a major statement of intent for our entire industry. We also acquired two complementary and highly innovative technology companies, Second Spectrum and FanHub. These strategic acquisitions will both strengthen our core offering and benefit from our scale and distribution. Given the strong performance of the underlying business, and following the aforementioned key transactions, we are revising our full year 2021 revenue guidance to a range of $250 million to $260 million, up roughly 30% to 35% from where we guided the market to previously. Lastly, we're thrilled to welcome David Levy as our new Chairman. During his 30-year tenure at Turner, he oversaw his leading portfolio of premium content. With his incredible track record working with many of the biggest names in sports and media, David’s appointment is another strong statement of our ambition and position. So far, 2021 has been all about continuing to execute on our long-held strategy. One of our most important differentiating factors is our steadfast commitment to official data. For those of you who are new to the space, this is the source of live sports information and facts that has been directly approved and sanctioned by the relevant sports league or federation. As more and more sports proactively engage with the betting industry, official data is becoming increasingly valuable. Additionally, the rapid growth of live betting regulated markets worldwide means that sportsbook operators place tremendous value on the speed and accuracy of official data. The scale of our portfolio, built up over more than a decade puts us at the very forefront of this data trend. We've grown our portfolio by 25% year-on-year to 185,000 events under official rights, of which 112,000 of them are exclusive. This is included adding premium content, such as MLB, and a series of rapidly growing and thrilling events from Major League Rugby to top tier Japanese Basketball amongst others. This number does not include the NFL, which was added to our portfolio after the reporting period. As many of you know, our approach is unique and that we acquire a large proportion of our rights through contra partnerships with sports leagues and federations. We have supported sports at every level with our leading data technology solutions that help them to create new revenues, drive fan engagement and increase efficiencies. In the first quarter, we've demonstrated the value of our technology. Our LiveStats technology was courtside [ph] every March Madness game, capturing advanced team and player statistics that powered the NCAA's broadcasts, their websites and more. You may have seen our Genius Sports logo at the end of every broadcast throughout the tournament. We also launched our Ice Hockey LiveStats solution, providing a valuable tool that will greatly strengthen our hand in negotiations with leagues across this sport. Our media [ph] operations also continue to accelerate. Our unique understanding of the sports and sports betting audience, coupled with our exclusive ownership and control of live sports data, and the Ad Tech platform enables us to offer personalized suite of solutions for our entire ecosystem. During the first quarter, we announced a new marketing partnership with FanDuel, to run personalized, targeted ads in states where they operate. We are also expanding our partnership with the MLB to continue using our digital marketing solutions to drive ticket sales for the leagues and its clubs. Our NFL partnerships huge to supercharging our media [ph] operations, as we will represent their sports betting advertising inventory, across all NFL owned and operated digital platforms. And through the quarter, we continue to grow our sports betting presence globally, winning new deals with clients, including WynnBET, [indiscernible] Parimatch, Cyanide [ph] and Microgame. We are proud of our execution to date and a better position than ever to capitalize on the rapidly expanding legalized US betting market. We've established a long-term exclusive partnership with the NFL, building off our existing agreements with the NBA, MLB, NASCAR and more. This allows us to provide premium official content on the most popular competitions. The business model we have in place allows us to participate in the upside of the US market. As the US markets revenues from gaming grow, our revenue also grows, regardless of which B2C player wins share. We're currently permitted to supply - in 13 US states and three tribal jurisdictions and have a proactive US license strategy, ensuring that there is no market in the US where we will not be able to operate. Lastly, our data driven fan engagement and advertising solutions allow us to monetize the significant marketing spend that sportsbooks are devoting to acquire customers in the United States. Genius uses its unique access to official live sports data, and combines that with audience data, our technology platform, and a comprehensive understanding of global betting behavior to offer advertising and fan engagement solutions that no one else can. Genius has a unique understanding of fans, live sports events, and the sportsbook market, enabling us to offer large scale targeted advertising campaigns, which are delivered through cost-effective, data driven, real time bidding for publishing space. As an example, our proprietary technology uses a combination of data sources to influence campaign pacing, and target criteria in real time. This allows us to deliver personalized content to the right audience at the right time on behalf of our sportsbook partners, which optimizes their customer acquisition costs. Genius also develops fan engagement widgets, the sportsbooks and digital publishers, featuring live game statistics and betting related content that drives key operator retention KPIs. These are just a few examples of the many media and fan engagement solutions which we offer our customers. In all cases, Genius is compensated through a performance based model, which fully aligns our interests with that of our partners. In the next few slides, I will go into more detail about the strategic transactions I previously mentioned, starting with the NFL partnership. This year, we signed an exclusive six-year partnership with the NFL, a partnership that as I said earlier, is completely innovative in its structure and revolutionary in its potential. So I'd like to take a moment to explain the core components of this agreement and why we're so excited that the value that it unlocks the Genius Sports. It is crucial to understand that this is a true technology partnership, which will drive the global convergence of official data, betting, streaming and digital media. Our partnership falls under four categories. First, we will be the exclusive distributor of official data for sports betting to the NFL. Using official data is the only way for sportsbooks to guarantee low latency, accurate and secure data for their betting products, and now that the data for the NFL events can only be obtained through Genius. This gives us tremendous ability to increase our utilization rates across all of our content. Since the contracts are structured as a package deal that typically include a variety of content and services. Second, Genius will be the NFL exclusive distributor of official data for the media markets. This manifests itself as innovative, data driven, NFL specific product to support media partners to increase their audience engagement and drive monetization opportunities. Thirdly, we will be the exclusive distributor of live streaming for the international sports betting market. Our streaming operations have grown rapidly over the last 18 months, and adding such premium content will help us to agree - achieve new integrations with sportsbooks in the US and worldwide. These integrations allow us to offer our rapidly expanding portfolio of streaming events across multiple sports. And lastly, as mentioned previously, Genius is now the NFL's exclusive sports betting and iGaming advertising partner. So we are the exclusive provider of the NFL sports betting and iGaming advertising inventory in regulated states across the world. These exclusive rights to the NFL audience, live data, and proprietary Ad Tech optimizes customer acquisition and retention and positions us well to take a significant piece of the marketing gold rush. It is important to me to reiterate that this is - that this partnership is much more than a betting rights deal. The NFL has not just swapped out the incumbent to Genius Sports. This is a major partnership that through Genius and the NFL's joint innovation technology center, we will develop the next generation of products and services for the NFL. Genius have the new capabilities to work with media partners to create engaging content by bringing data to life. Integrate sportsbook brands across media platforms, addressing the right audience, at the right time, provides sportsbooks with data and technology to deliver a quality betting product to their end users. And finally, it allows us to unlock the true value of the NFL official data. Genius is unique in its ability to take full advantage of its strategic partnership with the NFL. We expect new and existing customers to appreciate the step change in value of our official data rights portfolio, as well as allowing us to showcase our unique and broad value added services. Our suite of products and services are sold as a package. So the addition of the NFL massively increases the overall value of our offering. Our deal with the English Premier League in 2019 allowed us to sell more to our sportsbook customers, increase our pricing and take a greater share of wallet. We expect the NFL deal to do this and more. In particular, our exclusive advertising relationship puts Genius in a unique position to acquire customers in the US in a differentiated and cost-effective manner through the NFL season, which is the single largest customer acquisition driver in the US. This allows Genius to earn marketing spend by accessing this area. Concurrently, Genius will work with the NFL to develop the next-generation of products to engage fans in both media and betting through its exclusive access to data and proprietary technology. Genius is unique in its ability to maximize the value of the NFL partnership through the wide range of services we offer. This makes the NFL data deal more valuable to us than it would be to anyone else because of the multitude of unique ways that we can monetize it. As I mentioned at the start of this call, our mission is to provide the entire sports betting and media ecosystem. We can only do this if we continue to innovate and provide new levels of data, content and technology services to our partners. This has been central to our recent acquisition Second Spectrum and FanHub, two highly complementary and innovative technology businesses. I'd like to take a few minutes to give you a short overview of both these acquisitions and how they accelerate the pathway through our long-term targets. Starting with Second Spectrum. Second Spectrum is the world's most advanced data tracking technology provider, with official partnerships with the NBA, English Premier League and MLS. They provide highly innovative tracking, analytics and data video augmentation solutions that will help us create an end-to-end data offering for our sports, betting and media partners. Second Spectrum has also established partnerships with several major broadcasters and media companies, including ESPN, BT Sport and Bally Sports. The acquisition accelerates our plans to converge sports betting and media to power the fan experiences of the future. Their best-in-class artificial intelligence technology team, computer vision, and machine learning products will help bring together our data betting, streaming, marketing and fan engagement solutions into one. Our relationships with hundreds of leader’s worldwide and proven track record of delivering major technology products will unlock significant future growth at Second Spectrum. This acquisition aligns with each of our key strategic goals and expands our long-term addressable market. I'll now turn to FanHub. In the first quarter, we were also thrilled to announce the acquisition of FanHub, a leading provider of free-to-play games and digital fan engagement solutions. Like Second Spectrum, FanHub will enhance our offering across our entire sports, betting and media ecosystem. FanHub's leading free-to-play solutions will be fully integrated and create greater engagement, which in turn will create new monetization opportunities. Free-to-play has become essential for increasing fan occasion across second and third screens, allowing partners to deliver sponsorable digital assets that their fans love and derive demonstrable value for sponsors. As part of the push towards deepening its relevance and value to clients, Genius Sports identified the opportunity to acquire the market leader, gaining an early mover advantage and the pre-existing technology suite with Tier 1 client set and a highly engaged user base in their millions [ph] FanHub already works in partnership with some of the largest companies across Genius Sports ecosystem, including the NFL, MLB, MLS, Betway and PointsBet. Direct fan engagement is a high priority for customers, clients, sponsors and media partners, and our distribution network will generate significant growth opportunities and revenue synergies for FanHub's services. FanHub and Second Spectrum are excellent examples of our disciplined acquisition strategy. And we look forward to updating you further on their progress as we integrate them into our product offering. With that, I will turn it over to Nick to walk us through the quarterly financials and revised guidance.
Nicholas Taylor: Thanks, Mark. And thank you all for joining us on our first earnings call. We're delighted to start life as a public company with such growth great momentum across the business. Quarter one group revenue increased 52% year-on-year to $53.7 million, with each segment of our business increasing significantly. The company delivered well balanced performance across all segmental areas and all growth leaders. Firstly, our Betting Technology, Content and Services revenue increased 42% year-on-year to $39 million. This growth was driven by a combination of underlying growth in the betting markets, new customer acquisition, price escalators in existing contracts, as well as increasing our share of wallet through additional services to sportsbooks. The major technology Content and Services revenue more than doubled year-on-year, growth to $9.4 million in Q1. This increase was driven by continued growth in advertising spend in the US and Europe from sportsbook looking to acquire and reactivate customers. Lastly, the Sports Technology and Services revenue increased 42% to $5.4 million, primarily driven by expanded services provided to existing sports league and federation customers across all tiers of sport. Group adjusted EBITDA also grew over 400% year-over-year to $9.3 million. The result of our inherently strong operating leverage and disciplined cost control, which allows our robust revenue growth to drop through to adjusted EBITDA. On the back of our strong underlying business performance and recent announcements, we are delighted to increase our full year 2021 revenue guidance from the $190 million communicated to you at time of our de-SPAC [ph] to a new range of $250 million to $260 million. The key drivers for this increase, our underlying strong Q1 performance, with the well balanced revenue across all segments, as well as our continued growth in our official right portfolio. As of March 31, we have more than 185,000 events under official rights, of which over 112,000 are exclusive. Together with the acquisition of the exclusive global NFL rights, this continues to drive our mission-critical position in the global sports betting and media ecosystem. These factors have led to a significant organic growth and the underlying business is steaming ahead to an expected revenue range of $240 million to $245 million for the year. Drivers that will determine whether we're at the high or low end of this range will depend on the pace of continued growth in the US and rest of the world, as well as our NFL go-to-market strategy. As a reminder, our updated guidance reflects our view of the 2021 calendar year, which includes only the first four months of the NFL season. We expect NFL related gaming revenue to carry over into the first quarter of 2022 which is not included in our current calendar year outlook. As Mark mentioned, we are thrilled to welcome FanHub and Second Spectrum to the Genius family. For these acquisitions, both of which are expected to close in Q2, we estimate a 2021 revenue contribution in the range of $10 million to $15 million. On a standalone annualized basis, we estimate the acquisitions to contribute to revenue approximately $7 million for FanHub and $20 million to $25 million for Second Spectrum. And this is before any revenue synergies which we will expect to generate predominantly from 2022 onwards. We're also updating our EBITDA forecast from when we last communicated guidance during the de-SPAC. The EBITDA from our underlying business continues to be strong, as we've just discussed with our Q1 performance. And we anticipate our organic underlying business to generate adjusted EBITDA in the range of $35 million to $45 million this year. This compared to our previous guidance of $35 million. Our updated EBITDA guidance also includes a number of new items. Firstly, in relation to the acquisition, as you can see, we're expecting both FanHub and Second Spectrum to be marginally profitable at an adjusted EBITDA level in 2021. As you will be aware, our previous guidance excluded the incremental costs of being a US public company, which we estimate to have a $10 million impact in 2021. The main items of which are principally legal, professional and governance costs. Additionally, a significant advantage of our de-SPAC is our new balance sheet strength and flexibility to support opportunistic investments. As part of this, we anticipate discretionary investments of $15 million in 2021, principally towards capturing long-term streaming rights in order to strengthen our market leading portfolio. This capital strength, following the close of the de-SPAC allows us to invest ahead of the revenue curve where we feel this is appropriate. And these investments will drive meaningful revenue contribution and strong payback over the next three to five years. Our increased growth capital puts us in a much better position to take advantage of these opportunities. We've called this out separately, as it was not included in our original de-SPAC guidance and therefore I wanted to provide visibility, so you can compare the underlying business performance on a like-for-like basis. These types of discretionary investments of something we will do from time to time when the opportunity arises, and where we believe there is significant shareholder return. Following the close of our business combination, and two recent acquisitions, our pro forma net cash position at March the 31st, is approximately $41 million. I want to quickly touch on the financial impact of the NFL partnership, particularly as it impacts our quarterly position. To start, we want to reiterate that we will reflect the financial effects [ph] of our NFL partnership in our organic numbers, as this type of all encompassing partnership is at the very heart of our core business. That said, we are in the very early stages of discussions with our customers in relation to the NFL, and it does seem likely that our revenues will become more seasonal than they have traditionally been, due to the NFL fixtures running from September through January. Looking at this on a quarterly basis, I am anticipating that our group's Q2 revenue position will be in line with that of Q1 this year, predominately because Q2 is a quieter quarter for US sport. Q1 is contained both of Super Bowl and March Madness, which had a significant impact, particularly on our major revenues in Q1. We then anticipate continued quarterly growth in Q3 and Q4. On the cost side, we continued to finalize the various accounting aspects of our six year NFL deal. We currently anticipate recognizing the cash element of the consideration paid to the NFL during the NFL season only, and therefore will start to recognize this from September through to January each year, mirroring the seasonality of the revenues. In addition to the cash cost element of the agreement, we will also incur a non-cash charge, as it relates to the NFL's equity ownership in Genius. For accounting purposes, we will recognize these warrant issued to the NFL over their vesting period as a share based payment. With that, we conclude the prepared remarks of our Q1 2021 earnings presentation. Mark and I will be joined by Chief Commercial Officer, Jack Davison and Commercial Director of Media Engagement, Josh Linforth to answer any questions.
Operator: [Operator Instructions] First question comes from the line of Jed Kelly with Oppenheimer. Please go ahead.
Jed Kelly: Hey, great. Thanks for taking my questions. And congratulations on getting to your first earnings call. So I guess just Mark, just touching on the NFL, because that seems to be where, where a lot of the focus is. And one thing that's been interesting is since your deal, the NFL has signed sponsorships with three major sportsbooks. And they've also given the rights holders a lot of flexibility on their streaming rights. So can you talk about how your - how you can benefit, how Genius benefits from more content going streaming? And some of the - you know, I think we've seen with Amazon potentially on in two years, could put a betting cast on some of their Thursday Night rights. So can you talk about how you're leveraging the streaming opportunity with the NFL?
Mark Locke: Sure. So I mean, I'll talk more generally. And our view is very much that the world of streaming and sports betting and frankly fan engagement are all converging over time. So part of the logic around the Second Spectrum acquisition was really to sort of take a long term view on how this works and how this comes together. When we look at our streaming strategies, as you know, we've built up a reasonably large portfolio of streaming rights. And as the industry continues to evolve and continues to grow, we're looking at putting those streaming rights together with a lot of the product innovations that are coming through on the betting side to offer that technology service and that to the sports betting operators on a long term basis. The other part of it, is really around customer acquisition, fan engagement, whereby the convergence of this allows us access to a lot of the data, that means that we can put the targeted offerings in front of them, and really drive value for the sports Betway [ph]
Jed Kelly: And then as a follow up, I guess, just on the back of the FanDuel access, do you eventually see more of your media opportunity around connected TV, OTT advertising? And or is it going to be more in performance marketing?
Mark Locke: Yeah. I mean, look, we - when we think about all of the different platforms, what we're really thinking about is the underlying data, that sort of sits underneath dollar [ph] And think about audience data, we think about how can we better target using the various different platforms that are out there. So as a business, you know, we very much think about providing technology services to analyze and optimize the use of the underlying data. And as the industry evolves, as different platforms sort of emerge, we'll be focused on serving those platforms, again, using sort of - you know, intelligent processing of the underlying data.
Jack Davison: Yeah. Hi, Jed. I'm Jack Davidson, Chief Commercial Officer. I just thought it was worth jumping in. So thinking about the NFL stuff really, like your question about Amazon and the kind of that convergence going forward, a really good one, because although we could not - right out of that content, what we are, as part of the innovation hub with the NFL is kind of an enabler of that convergence. So even - and that's something which will come as the future, and as that - as the NFL to other partners think about that convergence and what they're doing, we are intending to be part of that. And our innovation hub is really about joining the dots from a technology point of view, to kind of further enable that convergence. Even with the sports betting partnerships that the NFL announced, we are an enabler of that. We're providing technology to the NFL to really help those partnerships flourish, to help them succeed. So we're already doing that in some ways. But when you think about the likes of Amazon, and what they're thinking about, and the direction that could go, that's really the future and really one of the sort of key drivers of the partnership. So does that make sense?
Jed Kelly: Yes, it does. Very helpful. And then I guess, just one more for me, it's more for Nick. Hey, Nick, can you help us how we should think of your cost of revenue growing relative to your cap - cash operating expenses for your EBITDA range? And then on the revenue you gained from the acquisitions, was that on a full [ph] year run rate basis? Or is that what they're expected to contribute going forward, starting in 2Q?
Nicholas Taylor: Yeah. Hey, Jed. Let me take those the - sort of reverse way around and talk about acquisitions first, and then I'll touch on the operation leverage that we have. So in the decks that we've given in the guidance, where we've guided to a $10 million to $15 million acquisition position, that is their contribution to the 2021 perspective and not their annualized position. We're expecting both acquisitions to close in quarter two, although they haven't as yet closed. In terms of an annualized basis, in the previous comments, I said, Second Spectrum, we're expecting on a standalone basis, pre any revenue synergies to contribute $20 million to $25 million worth of revenues, and FanHub to contribute to circa around $7 million worth of revenue. On a cost question Jed, I guess, to look at it, two ways. Obviously, we've given a - you can see our 2021 EBITDA margin is obviously given as part of our guidance that we've gone forward with. Can you still hear me Jed?
Jed Kelly: Yeah, can hear you fine.
Nicholas Taylor: Yeah, sorry, we have some strange music at this end. So apologies, have been put off that. So we've obviously got our EBITDA margin in the 2021 numbers, you can see from our updated guidance, and clearly the rights are playing a big impact of that, and they'll have a direct impact on our gross margin perspective. We're not giving guidance for 2022 just yet, as you'd anticipate, but what I can say is that we are reaffirming our long term position of a 40% EBITDA margin at a mature steady state position. And therefore we would anticipate, I think in the deck of our de-SPAC deck, I gave a view of what sort of right direct costs and net staff costs and SG&A are likely to be as a position to reach that 40% position and that hasn't changed yet on a long term, steady state position.
Jed Kelly: Thank you 
Operator: The next question comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Good morning. Congrats on the results and business trends and awards. First, thank you for the detailed guidance reconciliation that is very helpful, how you broke that out. Within or I guess on the NFL deal, which line is that include in within the EBITDA guidance reconciliation? Is it the underlying business? Or is there some elements within the investments there?
Nicholas Taylor: Yeah. Hey, Ron. Yeah, let's – we're absolutely clear, the NFL is in our core numbers, in our underlying business. So its part of the $50 million to $55 million upgrade on the revenue and part of the zero to $10 million on the adjusted EBITDA position. Those investments that I called out separately are - frankly, because of our new balance sheet strength and our flexibility, because of that, we're going to take the opportunity, and that’s principally around streaming rights. So nothing to do with the NFL, that we're going to take an opportunistic ability to invest really ahead of the curve. So we're going to get the cost, but they'll make a meaningful revenue contribution and payback over the next three to five years. But we'll be contributing significantly in 2021. The reason why I would call them out separately is obviously they weren't part of our de-SPAC guidance at the 190 and the 35. So we wanted to give you an ability to compare on a like-for-like basis.
Ryan Sigdahl: Helpful. And then on the guide, and you can talk directionally, I know it's hard to kind of bifurcate the two out. But are you able to talk, so EBITDA on the underlying business raised x the NFL, and then the inclusion of the NFL? I guess what I'm asking is, is the NFL expected to be positive contributor this year?
Mark Locke: Yeah. Hi, Ryan. Well, as you know, first of all, that's not how we go to market. And secondly, obviously, for commercial sensitivity reasons, I am not going to give too much details on the NFL. What I can say to you, is that on a cash basis we anticipate the NFL to be breakeven in 2021, and cash generating thereafter. And indeed, on a - of course, the life of the contract we anticipated to be profitable.
Ryan Sigdahl: Excellent. Competitor Sportradar, which lost the NFL deal, they have said publicly to their customers that they plan to still distribute publicly available NFL data to their clients. I guess, how do you parse out what is exclusive versus what others can do? And then how are those conversations with the key sportsbooks going kind of relative to switching over to you guys?
Jack Davison: Yeah. I mean, we - look - the conversations we're having with the sportsbooks are in early days. And I mean, I can just give you a bit of a flavor for how some of the conversations are going on if you'd like.
Ryan Sigdahl: Yeah.
Jack Davison: Hi, Ryan. We're quite early on that. And we've always anticipated that Sportradar will and others, I guess we'll be offering an unofficial product from the NFL, that's something we expect. I think that the market is such that there's a real demand for operators to work with official data wherever they can, in fact, the NFL partners, the three partners that have been named have actually have an obligation to use the official data as part of that. But I think it's worth going back a bit a step on this stuff where, you know, we are on a commercial level, we're not going to sportsbook operators and saying, do you want to buy some official data from us, what we're talking to them about is really helping them with their entire kind of customer journey of how they engage their players with the NFL. And that starts from how do they acquire a player using the NFL assets, how do they - we engage with that player, how do we use things like free-to-play in order to drive their engagement and drive their retention metric, as well as user streaming in their - for their international markets, as well as the kind of core thing which is, I guess, what you're getting out about using official [ph] data to drive their betting market. So from our point of view, we're quite early on in those conversations, but the response has been fantastic. So for us, this isn't really about worrying about whether other parties in the market are going to offer an unofficial product because there's so much more to what we're able to offer an operator as part of the deal. That's really we tried to highlight on this call. So I hope that makes sense.
Mark Locke: Yeah. I mean, is it useful for us to sort of give it - go slightly more granular on exactly what the deal is with the NFL is as well because, we sort of, we heard lots of different reports about what's included in it. And a lot of people, you know, have reported that it's a sort of almost a direct swap for the incumbent. But actually, if you break down what we've actually done with the NFL, it's really sort of falls into four buckets. I mean, the first is, you know, simply everyone very clearly understand the inclusion of the official game data. The second is official data for media purposes, it gives us the ability to build up products around the media space. The third is around international streaming, for betting, so for the rights to do that. But the important part of this deal which is unique and it's something that we work very hard with the NFL to create a structure, create a deal that added a lot of value to the NFL, but also work very well with the products and the services that we offer, as a business is really around the Ad Tech space. And what we have there is an additional - effectively an additional part and an additional revenue. So when we're going to market as, as Nick alluded to earlier, and Jack just said, again, we're not going with just a sort of sale of NFL data, the conversations don't work like that. We go to our sportsbook partners and we say look, we can add value with the NFL in lots of different ways, but we can also add value across other sports. But on top of that, you know, what we can do is we can help them reach their customers better, we can engage with them on the marketing side. So we're looking at - you know, forgive the word, that we were looking for much more sort of holistic deals with our sportsbook partners that really allow us to access different parts of budget within each of those operators, hopefully, driving a lot of value for them in return for doing so, and having much larger relationships. So it's a much - it's a very different type of deal, then I think it's sort of more widely reported. But it does give us an access to sort of much larger revenue, Paul [ph]
Ryan Sigdahl: Very helpful. Just as a follow up on that Mark, anyway to kind of bifurcate the expected revenue across each of those four buckets, or said differently, kind of which of those are the most valuable, the sports betting has historically been, you know, the biggest part of your revenue mix. But how do you think about this deal specifically?
Mark Locke: I'm sure, it'll be no surprise that I don't want to go into too much detail about that, because it's fairly commercially sensitive. And again, I don't think I'm giving away too much by sort of saying, look, I think from a revenue point of view, sports betting is clearly very important. But so is the, you know, the advertising the Ad Tech market. As you'll have heard on the earnings earlier, that business is growing incredibly well, with the acquisitions we've made that help support that growth, and we're adding a lot of value to our customers in that way. So I think that's probably where I'll leave it on that.
Ryan Sigdahl: Great. Nice job, guys. Good luck.
Operator: The next question comes to line of Mike Hickey with Benchmark Company. Please go ahead.
Mike Hickey: Hey, Mark, Nick, Brian [ph] and congrats, guys. Awesome job on the quarter, first quarter and congrats on the NFL deal. You touched on it, but I guess it was sort of a big surprise, at least for us that you got this deal. It was for radar was sort of the incumbent that seemed like they're pretty tight. There's some equity involved. So just sort of curious, and I know you've sort of hit on this, but what was it that really got you to win this deal? And how sticky is it now with you moving forward? I realize it's a six year deal, but maybe it's for fixed with a couple year, one year option. So just curious, the longevity of the deal? And then have a follow up? Thanks, guys.
Mark Locke: Yeah, sure. So I mean, look, we work very hard with the NFL to create a structure that allowed us, you know, as I said before, to, you know, utilize a lot of the technology assets that we have as a business. But I think really where I think the NFL and us had a very similar vision, about what the future look like, what the requirements for products in the future are I mean, again, you'll know from the work, you've done already, that we're very focused on product, we're very focused on delivering value to our customers and our partners. And really, I think the NFL when they were evaluating that they did an awful lot of work on it, you know, realize that the amount of opportunity and the fact that our visions, I guess, we're very much aligned. So I think that the in tech - and technology innovation center is an incredibly exciting and important part of this partnership. It gives us the ability to build out new and exciting cutting-edge, next-generation technology, help the NFL to access that next-generation of fan and to engage them and really gives us a platform for what we're expecting to be an extremely long term partnership. We believe that this is a foundational deal. It's transformational, what's not been done before in the market, and really its giving us that opportunity to build that very long term partnership with the NFL through providing those technology services and providing that partnership.
Mike Hickey: Nice. Glad to hear that you sort of reiterated on your long term financial goals. Just curious how the NFL deal sort of accelerates, maybe the bridge to that long term view? And, part of the puzzle was originally your assumption 40% share of events, powered by Genius. Is that the same assumption that changed? And I guess, you know, does the NFL accelerate your opportunity to that long term goal?
Mark Locke: Yeah. That's exactly right. We believe it does accelerate our journey to that long term goal, I'll steal your words. And really, as you know, our business is about, you know, it's about being able to provide multiple services to our partners, it's about leverage, it's about having that availability for our customers. So yeah, we have reaffirmed our long term financials and we believe that this does accelerate us towards them. It provides us with, you know, that platform for that growth.
Mike Hickey: Nice. Last question for me, you have your, I think, a 10 year exclusive at the NCAA, just sort of any thoughts around the possibilities and them sort of endorsing data for sports betting? Obviously, there's a lot of betting already happening around collegiate sports. But do you think that relationship with the NCAA can evolve to a official data endorsement from them? Thank you.
Mark Locke: Look, I mean, probably no surprise, I can't comment on what the NCAA view on betting is, on a long term basis. Suffice to say that we do have a very close relationship with them. We're providing a lot of services. We've rolled out our LiveStats with data collection technology in huge numbers of their events. And, you know, I think I mentioned it in the call that you'll see the Genius Sports logo on the back of the CBS broadcast from the NCAA. So I think we're feeling like we have a good relationship. We've got those technology partnerships in place. We've rolled out our technology and again, how the NCAA choose from a betting space it isn't for me to comment on.
Mike Hickey: All right. Thanks, guys. Best of luck.
Operator: The next question comes from line of Stephen Grambling with Goldman Sachs. Please go ahead.
Unidentified Analyst: Hey, it's Steven. Thanks for taking the questions. I'm going to throw one more on the NFL in there, as you look at some of the past marquee league signings you've had perhaps in Europe, how do of these contracts, you know, typically translate or ramp, as you look at the revenue and cash ramp over the contract terms, and what might make the NFL similar or different than that roadmap in other markets?
Mark Locke: Yeah. Look, I mean, like, the way we have structured our partnerships on a - I guess outside of the US is always been generally around technology partnerships with sports leagues. So our core business model is about swapping, or contouring [ph] technology in exchange for the right to collect data and we provide those services on a very, very, very wide ranging basis, to many global sports leagues. The NFL is - you know, while the quantum is different, the theory behind our partnerships, and the relationships remain the same. We as a business, look to partner with sport. We look to take those services and products and provide them to our partners in exchange for the right. Now, clearly, there's some cash elements in – and of the equity involved in the NFL, but we believe that this deal is, you know, on a cash basis it's breakeven in ‘21, it's going to be profitable over the life of the contract. And as a result of the type of relationship that we have, we believe it accelerates our sort of global growth. So we see it very much in the same vein. We see most of our sport partnerships.
Unidentified Analyst: Yeah, I guess, what I was trying to get out without trying to get too specific with guidance was just as you look at these other signings, I imagine that, you have a conversation with customers, there's both the opportunity for having more events within the contract that you have. And then also adjusting your existing contracts and having these new services that are attached with it. So just trying to think through how quickly we can start seeing those? It sounds like, you know, you'll be having those conversations in advance of this upcoming NFL season. But perhaps is that normally like a one to two year three year ramp up? Or could this just be faster, because it's either larger or just the way it's structured?
Mark Locke: Yeah. I mean, I'm not sure I totally follow the question, but if you're asking how we see the ramp, I mean, our revenues are related to and the growth in the market, as well. I mean, our business model is, you know, consists of sort of two different parts. One is a fixed part, which is for the provision of the services, and then we also, as I'm sure you're aware, take a slice of the gaming revenue. So we sort of see the ramp to achieve the 5% that we've stated to the market, really coming as a result of increased partnerships, increased provision of content, increased utilization, and obviously an increase in the size of the market as well.
Nicholas Taylor: Yeah. Hi, Steven. Its Nick. And the other important thing to know is that in every contract with our sportsbook customers, we have upside leaders, regardless of what the nature of that contract looks like, whether that's on a variable basis, or whether that's on a sort of fixed basis, we have the ability to go back to the sportsbooks, where we acquire material assets like the NFL. And therefore, we will expect to be monetizing the NFL immediately in season one, but as Mark says, and then ultimately, obviously, the TAM will grow as the natural US focus TAM growth across the six years.
Unidentified Analyst: That's helpful. And one other one, that's maybe a longer term question. You talked about the long term EBITDA targets, I guess, what would - what is the long term cash conversion from EBITDA look like? Effectively, I know that you've got limited CapEx requirements. But you generally think about software investments as being relatively fixed as well, and that long term assumption?
Nicholas Taylor: Yeah, that's right. We don't have a - we capitalize a certain level of internally generated software. I think it was round about, top of my head, round about $10 million to $15 million in 2020. So - and going forward, it's not going to ramp in any way linear to any revenue or EBITDA performance, it will stay to relative absolute number as we continue to develop new products. So the cash conversion on any EBITDA perspective will be pretty strong.
Unidentified Analyst: Awesome. Thanks so much.
Operator: Ladies and gentlemen, there are no further questions at this time. Thank you for your attention. The conference is now concluded and you may now disconnect your telephone. Thank you for joining and have a pleasant day. Good bye.